Operator: Good morning, and welcome to AirSculpt Technologies' Fourth Quarter and Full Year 2021 Earnings Conference Call. Currently, all participants are in a listen-only mode. As a reminder, today's call is being recorded, and we have allotted one hour for prepared remarks and Q&A. At this time, I'd like to turn the conference over to Dennis Dean, Chief Financial Officer at AirSculpt Technologies. Thank you. Please go ahead.
Dennis Dean: Good morning, everyone, and thanks for joining us to discuss AirSculpt Technologies' results for the fourth quarter and year end. Joining me on the call today is our Founder and Chief Executive Officer, Dr. Aaron Rollins, and our Chief Operating Officer, Ron Zelhof. Before we begin, I would like to remind you that this conference call may include forward-looking statements. These statements may include our future expectations regarding financial results and guidance, market opportunities and our growth. Risk and uncertainties that may impact these statements and could cause actual future results to differ materially from currently projected results are described in this morning's press release, and the reports we will file with the SEC, all of which can be found on our website at investors.elitebodysculpture.com. We undertake no obligation to revise or update any forward looking statements or information except as required by law. During our call today, we will also reference certain non-GAAP measures. We use non-GAAP measures in some of our financial discussions, as we believe they more accurately represent the true operational performance and underlying results of our business. A reconciliation of these measures can be found in our earnings release, that's filed this morning, and in our annual report when filed which will also be available on our website. With that, I'll turn the call over to Dr. Aaron Rollins. Aaron?
Aaron Rollins: Thank you, Dennis. Good morning and thank you for joining us today. We had an exceptional first quarter as a new public company. As you know, we completed our IPO during the fourth quarter and with that milestone behind us we look forward to continuing the momentum and success through 2022 and beyond. We generated $37.6 million of revenue reflecting growth of 64% over the prior year quarter and our adjusted EBITDA was $10.2 million which was 26% over the prior year quarter. We achieved these strong results while navigating challenges arising from the Omicron variant, which impacted how we scheduled patients as well as our surgeons and our nursing staff. Achieving our results for the quarter despite these challenges speaks to the resiliency of our business. We were also able to make additional clinical investments at our facilities to enhance quality and safety for our patients and we expect to continue these investments to further support our growth. Before we share more about our results, I want to recognize and say thank you to all of our employees and physicians. COVID brought a number of challenges over the past couple of years and our team has performed remarkably well in our outstanding financial results only tell part of the story. Now I'm going to provide a brief overview of the company for those who may be relatively new to AirSculpt. We are an experienced fast growing national provider of custom body contouring procedures. We operate under the brand Elite Body Sculpture and we deliver a premium consumer experience in a luxury spa-like atmosphere, providing exceptional custom body contouring using our proprietary AirSculpt technology. Our network of specialty centers focuses on the removal of unwanted fat, while simultaneously achieving exceptional skin tightening for our patients. We also offer fat transfer procedures, which allows patients to transfer their unwanted fat to other areas of their bodies such as the breasts, hips, butt or hands. I developed AirSculpt over 10 years ago because I saw a great need to deliver the highest quality results in body contouring and to provide a luxurious first class experience. Unlike traditional liposuction, which uses a scraping or shearing technique, AirSculpt uses a cannula that moves over 1000 times per minute in a back and forth corkscrew motion to remove live fat cells, all while simultaneously tightening skin. We do this through a freckle-sized hole, instead of using a scalpel incision. We perform this procedure in a minimally invasive fashion while our patients are fully awake and we use no needle, no scalpel, no stitches, and no general anesthesia. AirSculpt has two utility patents which we directly own. They relate to proprietary processes of performing fat removal and the combination of multiple components to perform proprietary systems. They are specifically configured for carrying out AirSculpt procedures. We believe the systems and methods claimed in our patents provide impressive results with less patient trauma relative to other systems and methods of fat removal. These factors help us align with our goal of providing the absolute best body contouring that currently exists. We further rely on copyright, trademark and trade secret laws to protect our brands. Proprietary technologies, know how, data and copyrighted content, which includes our library of before and after photographs. We have a gallery of well over 200,000 before and after photos of satisfied patients, which we believe to be the largest in the world. No matter what type of problems someone may have, our gallery allows them to see patients we have helped with similar body concerns as theirs. From time to time, I will see comments suggesting some of our pictures are not real or have been edited because the results were so dramatic, which I first took as a compliment, but then wanted to further prove it. So in 2020, we began broadcasting AirSculpt TV, which takes an online audience inside a live AirSculpt procedure. Additionally, we allow the online audience to ask the patient's questions while they are undergoing their procedures. We believe this provides a never before seen transparency in our space, and it speaks to our innovation in every aspect of the business. We remain committed to driving AirSculpt's brand awareness. Many people who want our services don't know who we are. We aim to change that in the coming years. We are laser focused on increasing brand awareness of AirSculpt and intend to do this with a multi-pronged approach of celebrity influencers, own media, owned and paid media content, as well as utilizing social and digital media marketing. The results we provide the patient speak for themselves. And we are confident that increasing brand awareness of AirSculpt will produce enormous value in the years to come. Now turning to our fourth quarter business highlights, we continue to execute on our growth plans and opened two locations during the fourth quarter for a total of four new centers for the full year 2021. I'm also excited to announce that we opened our newest location in Las Vegas and began performing cases this week. We remain on target to execute on our de novo strategy of opening three to four centers each year, which speaks to the demand for our services across the U.S. Not only is there a runway for continued execution in the U.S., but we also believe there is an immense opportunity in the future to expand our network of centers internationally. We anticipate opening a center in Toronto, Canada in the second half of this year, and have identified other countries that we believe will be fantastic locations to provide AirSculpt. As we mentioned in our last earnings call, we are excited to undertake a research project on the effects of our procedure on a patient's metabolic parameters. We have begun the process of designing the study to carry out high quality research. We are developing standard procedures for all aspects of the study and we aim to submit to the Institutional Review Board for approval in the first half of this year. We expect to complete patient enrollment this fall and we anticipate having results from the study in 2023. We are excited about the opportunities ahead of us as we continue to expand the AirSculpt Technologies footprint, increase brand awareness and deliver incredible results for our patients. Now I want to turn the call over to Ron Zelhof, our Chief Operating Officer. Ron?
Ronald Zelhof: Thank you, Dr. Rollins, and good morning, everyone. I'm going to direct my comments towards some highlights for the fourth quarter, and then share some information regarding our business model and the attractive unit economics our centers produce. But before I do, I want to echo Dr. Rollins comments regarding our team. There were a lot of obstacles during the quarter, but our teams stepped up in the face of a challenging environment and performed wonderfully and again, we thank you all for your contributions. It was a great quarter and we continue to be encouraged by our strong top line revenue of $37.6 million, reflecting 64% growth over the prior year quarter. For the full year 2021, revenues grew to $133.3 million, which was more than double the prior year, and over three times the revenue from 2019. Our growth continues to be driven by strong volumes and revenue per case expansion. Our total case volume increased 43.8% in the fourth quarter over the prior year quarter of which 19.6% was from the same centers. And our revenue per case for the fourth quarter was $13,018, a 14% increase over the prior year quarter. For the year our total case volume increased 87.8% over the prior year, of which 55.5% was from the same centers. We continue to be encouraged by our rate increases, which are a result of the patient's desire to have multiple areas treated at the same time. We point to AirSculpt TV as a driving force behind this growth as patients who watch AirSculpt TV are more educated about the different types of procedures we offer. Our fourth quarter adjusted EBITDA increased to $10.2 million reflecting a 26% growth over the prior year quarter and our adjusted EBITDA margin was 27.2% compared to 35.5% in the prior year quarter. For the year, adjusted EBITDA rose to $46.1 million, up 164% from the prior year and our 2021 adjusted EBITDA margin was 34.6%, up 670 basis points from 2020. Advertising costs, which include our digital, social, and traditional advertising, were $5.5 million for the quarter, which is approximately 14.6% of our revenue. When combined with our marketing and sales personnel costs, our total customer acquisition costs for the quarter were approximately $2599 per customer. As a reminder, our marketing costs as a percentage of revenue can fluctuate quarter-to-quarter, related to timing of the investment we made compared to the related revenue increases we achieved after making these investments. Our centers have an extremely attractive unit economic profile. We ended the year with 18 centers across the United States. We have a modest upfront investment in our centers, which is typically less than $1 million, and includes construction and equipment. Historically, our centers become cash flow positive, in approximately three months and generate 100% return on invested capital in approximately one year. Furthermore, we are 100% private pay with zero reimbursement risk, and for patients that request it we assist them with securing third party financing. At no recourse to us, patient financing allows us to schedule procedures more quickly, and approximately 41% of our patients utilized the financing option during the fourth quarter. We anticipate opening three to four centers each year. As Dr. Rollins mentioned, we opened a center in Las Vegas this week, and have plans to open Boston, Philadelphia and Toronto centers later this year as we execute on our de novo strategy. As I mentioned on our third quarter call, we have plans to increase the number of procedure rooms in certain existing centers. All our legacy centers were built in single procedure room centers and due to capacity constraints we have been converting or in some cases, relocating those centers to larger facilities to accommodate an extra procedure room. At the end of 2021, we have four remaining single procedure room centers, and we anticipate converting all of them to multiple procedure rooms during 2022. We are on track from a center conversion perspective, with our first conversion taking place in the next couple of weeks. Adding the additional procedure rooms will give us additional capacity and allow us to increase the speed of efficiency of treating our patients. With that, I'll turn it back over to Dennis to provide additional details on our financial results and outlook. Dennis?
Dennis Dean: Thanks, Ron. Our first quarter as a new public company has certainly been exciting for us and we are glad to be reporting continued strong results financially, plus demonstrating our abilities to execute on our de novo growth plans. This truly is a unique company from both the services we offer to the attractive unit economics we deliver. We are results focused in everything we do and I'm excited about what the future holds for us. Now diving into Q4 results, revenues increased $14.7 million to $37.6 million, a 64% increase from the prior year quarter. And our case has increased about 43.8% to 2885. The increase is a result of adding four new de novo centers, which expanded our footprint from 14 centers to 18 centers, and our number of procedure rooms from 23 to 32 as of December 31, 2021.  Our revenue per case was $13,018, a 14% increase from the prior year quarter. Revenues per case are determined by which areas of the body are treated. We also had favorable revenue metrics on the same center basis. Same center revenue increased 35% over the prior year quarter, primarily driven by case growth of approximately 20%. Much of our same store growth can be attributed to expanding our social media and marketing capabilities, especially AirSculpt TV, to increase brand awareness and to attract more patients into our existing centers. We continue to see increases in our revenue per case, which we attribute to patients becoming more informed and having more areas treated at one time. There are several variables that determine our pricing. Primarily it's based on the amount of time a patient is in the procedure room, which can vary due to the number of areas being treated, the volume of fat being removed, and whether a procedure involves a fat transfer. For the fourth quarter, fat transfers continue to make up greater than 20% of our procedures performed. Not every patient is a candidate for fat transfer and we expect to maintain this percentage as we continue to grow our case volumes. Our cost of services for the fourth quarter as a percentage of revenue was 34.8%. We saw a slight increase sequentially due to clinical investments we made at our facilities to enhance quality and safety for our patients and we expect to continue these investments to further support our growth. We continue to see a bit of this in the first quarter of 2022, but are starting to see improvements as the Omicron variant appears to be declining as of late. Our adjusted EBITDA for the quarter increased $2.1 million to $10.2 million, a 26% increase over the prior year quarter. This increase is due to the additional de novo centers we added and our same center revenue increases. As expected, due to the increased costs from being a public company, our adjusted EBITDA margin for the fourth quarter decreased to 27.2% as compared to the prior year quarter of 35.5%. The year-over-year decline in our adjusted EBITDA margin also reflects the additional clinical investments we made as well as increased marketing expenses. Moving on to liquidity and cash flow items. We have a very strong balance sheet. Our cash position was $25.3 million, and we have a $5 million revolver that is undrawn and has no outstanding letters of credit as of December 31, 2021. Our long-term debt was approximately $82 million. And our leverage ratio at the end of the quarter as calculated under our credit agreement was 1.61 times. Cash flow from operations for the year amounted to $26.6 million. An attractive aspect of our business model is that we are 100% self pay, meaning that we have no reimbursement risk. We receive all of our payments upfront, so we have no accounts receivables to collect. Additionally, our surgeons are contracted and receive payments only after a surgery is performed, which allows us to manage our operating cash flow very effectively. From an investment standpoint, we invested $2.4 million during the fourth quarter, primarily related to opening our centers in Miami Beach, Salt Lake City, and Las Vegas, plus upcoming openings in Boston and Philadelphia. As you know, we completed our IPO on October the 28th and it closed on November the 2nd. We received net proceeds of $13.5 million after deducting underwriter fees and related offering expenses. Now I'll provide some information on expectations for the upcoming year. As we think about revenue, we expect to achieve approximately $172 million to $176 million in revenues for the year, which would be a 29% to 32% increase over the 2021 levels. And we expect approximately $58 million to $60 million in adjusted EBITDA, which would equate to an adjusted EBITDA margin of $33.7% to 34.1%. Our adjusted EBITDA guidance reflects an increase in costs we will incur as a public company, which includes increases in legal, accounting, insurance, Investor Relations and other costs. We also anticipate an increase in marketing related costs as we continue to increase our brand awareness and drive additional volume into our centers. As Dr. Rollins highlighted earlier, we are committed to investing in brand awareness initiatives. These costs may impact our margins in the near term, while we expect EBITDA margins to return to the mid 30s in the midterm due to increased revenues. From a modeling perspective, we expect to open four centers this year. As you heard, we opened a center in Las Vegas this week, and we expect the remaining new center openings to occur in the second half of the year. Also, there is a slight element of seasonality in the business during spring and early summer months as patients prepare for the bathing suit season. The first quarter tends to be a lighter quarter and volumes start to trend upward in March. As a result of our IPO, we reorganized into a CCOR and we'll be estimating taxes accordingly. Additionally, our stock based compensation will increase related to our IPO equity grants issued as part of the creation of our 2021 stock incentive plan. These initial IPO related grants have a three-year vesting period and are expected to impact net income significantly over the next three years. As Dr. Rollins and Ron discussed in their comments, we have a very strong business model and we expect to continue to capitalize on our strengths of our technology and operations, as well as our attractive business model, which is fueled by favorable trends in the aesthetic space. With that, I'd like to turn the call over to the operator for a few questions. Operator?
Operator: Thank you.  The first question is coming from Simeon Gutman of Morgan Stanley. Please go ahead.
Simeon Gutman: Good morning, everyone. My first question is around advertising and Dennis, I think you, the way you discussed it, it sounds like it was a bit of a change relative to whatever plans you were looking at previously. So the question around it is, what sparked the change? Are you doing it because of there's some pipeline issue regarding Omicron? Are you doing it because of any competitive threat or are you doing it just to press the advantage that you have, and drive the volumes in the centers?
Dennis Dean: Hey, thanks for the question, Simeon. I'll start and if Dr. Rollins or Ron wants to add to the response, they can. But really, it's not anything new. It was really quite frankly, not unexpected. We did open to new centers, if you recall, during the quarter and so we incur marketing costs on those new openings and so the revenue hasn't come in on that. So that's a portion of it. We do continue to focus heavily on the marketing and advertising and expect to significantly expand our brand awareness in the coming year as well. So, a lot of it had to do with the two new openings, the marketing on those that we didn't have the revenue in. Operator Sir, did you have any other questions?
Simeon Gutman: Sorry, one followup question, I was muted, I apologize. My followup question is around AirSculpt versus other technologies right now. Do you have a sense on an ongoing basis market share of AirSculpt versus either CoolSculpting or other freezing or fat removing technologies, and so how do you measure on an ongoing basis, how you're performing?
Aaron Rollins: Thank you for the question. This is Aaron Rollins. All I can say is that, as our awareness increases, we expect to take more and more market share, because we strongly feel we have by far the best technology and results, not to mention patient experience. But as I'm sure many people on this call know, fat freezing technology took a big hit in the last couple of months with the Linda Evangelista articles and information, and it seems to be something that we hear is less and less from patients. Also AirSculpt provides an excellent solution to people who are not happy with previous fat freezing experiences. So yes, as we've always stated, we expect to continue to increase our market share.
Simeon Gutman: Thanks, everyone.
Aaron Rollins: Thank you.
Operator: Thank you. The next question is coming from Josh Raskin of Nephron. Please go ahead.
Josh Raskin: Hi, thanks. Good morning, everyone. I was wondering if you could provide color on the new markets on Vegas, Boston, Philly, and Toronto, and maybe any of the characteristics that specifically attracted you to those markets? And then as an aside, anything special to think about Toronto, the Canadian laws and anything that would be different than the U.S. that we should expect?
Aaron Rollins: Go ahead, go ahead.
Ronald Zelhof: Hi, thanks for the question. This is Ron Zelhof. In regards to Boston, Philadelphia, Vegas, that are out there right now, they've always been high on our list and as we said in some previous calls as well, our pipeline for our domestic growth continues to be really strong right now. So we're just executing on our de novo strategy there. They are obviously extremely big cities. Right now, the demographics just really line up to what we want to go ahead and to do. So those are the reasons for there, as for Toronto, that's a market that as everyone knows is, very, very financially viable for us. There are some differences in the regulations there that we're definitely accustomed with now through our attorneys that are helping us navigate those. And we feel extremely comfortable with operating in Toronto by the end of this year.
Aaron Rollins: I'd just like to add, oh go ahead...
Dennis Dean: Please, please Dr. Rollins go ahead.
Aaron Rollins: I'd just like to add that we're very excited about going internationally with Toronto and it really comes from a lot of demand from Canada and Toronto, specifically.
Josh Raskin: Right, and then my second question was just the metrics that you measure, Miami and Salt Lake were opened last quarter. I'm just curious, what metrics do you look at in terms of bookings, and scheduling and some things like that? How are you measuring the progress? And is there any way to judge sort of versus plan how you guys are feeling? And then just a quick aside, were those two or three procedure room openings for each of those?
Dennis Dean: Josh, it is Dennis. These were -- they were two procedure room centers and while we don't remark specifically about the details of individual centers, I will say that they are going really well. We are actually very excited about how well they're going and again, very good, very good start out the gates.
Josh Raskin: All right, that's helpful, thanks.
Operator: Thank you. Our next question is coming from John Ransom of Raymond James. Please go ahead.
Unidentified Analyst: Hey, how's it going? This is Parker on for John Ransom. So I know you alluded to some impact from the Omicron variant. Could you maybe just give us a sense may be the number of nurses quarantined or cases differed kind of during the peak? And then how are you seeing things recover in February and kind of early March?
Aaron Rollins: Hi thanks for the question, Parker. Yes, we did experience obviously, as you would expect some challenges in the latter part of the quarter related to the Omicron variant. The thing about our team, and the work that they did to be able to get cases scheduled, was actually remarkable. They did an excellent job of if a patient were to call in with a, needing to reschedule, we were quickly looking for other patients that were scheduled maybe the following week, to kind of reschedule them in those slots. So a lot of work was done around that. So we didn't have a significant amount of case volume that was lost in the quarter due to that. And, again, it was a remarkable effort by the team. We didn't have nurses at time they were in quarantine. We had physicians at time in quarantine as well and we were able to get those areas covered. Certain physicians, we have licensed in multiple states, so in certain situations, we were able to move doctors to other states where we needed to cover cases. So again, a remarkable effort by the team. But we did continue to see that obviously, in the first couple of months of this year. And we are experiencing what we seem to be an easing from the variant as it relates to impacting our team. And so we hope that obviously continues, not only as a company, but also as the country and the world. So…
Unidentified Analyst: Okay, great. And then you had really strong revenue per cases up like 400 bucks sequentially. How much of that is just a shift in mix? I know you said, roughly 20% of cases are fat transfers, how much is that increase from mixed shift and how much of that is just price increase?
Dennis Dean: You know, as we had said previously on other remarks, we don't do or we have not to date done price increases. It's really a mix and really even more than mix, it is just patients having more procedures or more areas done. And so when they're coming in, historically, we've seen patients would just have maybe have their chin done, which is a very quick procedure and very profitable procedure for us, but revenue per case because it's quite a bit lower because they're only in the procedure room for a short amount of time. What we're seeing is as patients are doing more and more areas at once, and because they're in the procedure room longer, it drives up the revenue per case. I will say that from a revenue per case perspective, we were a little pleasantly surprised by the 13,000. That number is somewhat variable. And, and so again, seeing the 13,000 per case was a surprise for us, a pleasant surprise. But again, because of the mix, and the shifts that can happen from month to month and quarter to quarter. That's again a surprise number for us, but it's something that as we look into this next year, we don't necessarily think it's going to decline significantly. But we just want to say that that number can be variable from quarter to quarter.
Unidentified Analyst: Okay, great. And then last question, are you seeing any second derivative kind of effects from maybe a slowing economy inflation, increasing gas prices, is there anything there kind of affecting maybe customers willingness to spend up for more expensive procedures or just because of your kind of customer archetype, is that not an issue?
Aaron Rollins: I can take that, this is Aaron Rollins. So no, is the answer to your question and having been in this business during the 2008 recession, I remember, absolutely no decrease in demand and as I'm sure you guys know, we're actually doing more procedures than ever before in our 10-year history. So we're very happy that our industry and our market segments that we go after, is really not being affected by this at least our patient demand is up.
Unidentified Analyst: All right, great, thank you.
Aaron Rollins: Thanks.
Operator: Thank you. The next question is coming from Korinne Wolfmeyer of Piper Sandler. Please go ahead.
Korinne Wolfmeyer: Hi, good morning, and congrats on the quarter. So to start off, to kind of piggyback off of the last question, I'd like to ask about the broader supply chain challenges going on in the macro environment, is that impacting your ability to build out new facilities or the cost to build out new facilities in any way?
Ronald Zelhof: Hey, Korinne, it's Ron, how are you? Thanks for the question. No, not at all. We do you have some supply chain issues that that do pop up in our construction projects, but it's already really built into our timeline for it. So as we've done in the past, we've been able to execute on our de novo strategy there.
Korinne Wolfmeyer: Awesome, thank you. And then just touching on AirSculpt TV, and how that's helping with your customer reach, do you have any way of tracking customer conversion from the AirSculpt TV? And if so, what percent of patients do you think are coming from that method of advertising? Just curious what kind of impacts you're seeing from this? Thank you.
Aaron Rollins: Thanks for the question. It's Aaron Rollins. We don't have any way of directly tracking that because you can view something on Instagram and think about it and go on, pay per click Ad a month later, or tell a friend, watch a YouTube video and just call, just visit the website organically. There's really no way to know. But I can tell you anecdotally that when I go to different offices and talk to people in the waiting room, . AirSculpt TV is a big topic. And a lot of people say jeez, I would never be here if it wasn't for AirSculpt TV because watching a patient laugh and talk and get interviewed while fats leaving their body was just incredible to me and it made me not scared.
Korinne Wolfmeyer: Thank you.
Aaron Rollins: Sure.
Operator: Thank you. Our next question is coming from Whit Mayo of SVB Leerink. Please go ahead.
Whit Mayo: Hey, thanks. May be just a followup on that, that last question, may be a little bit more broad of a question just around the marketing strategy. I think the question really is like, what you guys are changing? How the marketing strategy is evolving? How are you thinking about YouTube, AirSculpt TV versus other social media outlets? Just maybe some of the investments that you're making, just anything as you look at your plan, and how that's evolved sort of over the last 12 months that might be might be helpful? Thanks.
Aaron Rollins: We're continuing our strategy that we've always had and we're making opportunistic investments as opportunities arise.
Whit Mayo: Okay and I know you guys are providing guidance around the first quarter, but it might just be helpful to think about normal seasonality and maybe what might be a little bit different about this year versus prior years, anything that you could you could frame might be helpful?
Dennis Dean: Hey Whit, this is Dennis. Yes, as it relates to the guidance for the coming year, there is there is some seasonality within the business. But interesting also that center by center, there may be different periods of time they experience seasonality. Scottsdale, Arizona is extremely hot in the July-August time period, and so they're their seasons are a little bit different than maybe a Nashville or Beverly Hills. But we do see a little bit of a pickup from a seasonality perspective, in the second quarter, as people are preparing for beach, bathing suits, swimming pools, those types of things. So we do experience an uptick in the second quarter. We tend to be a little softer in the first as we come out, but that tends to ramp up in the March time period, as we again kind of get closer to that second quarter and that swimsuit season. So there is a bit of seasonality whereas the second quarter tends to be one of our better quarters.
Whit Mayo: All right. And then any way to maybe frame as a percentage of your full year EBITDA that you think you might be budgeting for in the first quarter, I just want to make sure that we're not all off the reservation with how you're…
Dennis Dean: Sure. First quarter and then from a full year from the guidance number, you're looking in the low 20% range.
Whit Mayo: Perfect, perfect, perfect. And last question really is, you guys are kind of a new company for a lot of us and as you reflect back on the last year, maybe the bigger surprises good or bad relative to your internal plan, what developed there that surprised you? Anything that you could share might be helpful, thanks.
Dennis Dean: I'll start and then I'll let Ron and Aaron complete. I think probably from a surprise standpoint, for me is probably the rate. We really have obviously, shown very successful results from our revenue per case. And so that that would be something that's probably a little ahead of where we had expected and forecasted. Again, it's a very variable number. And we do see it from month to month shift up and down based on mix. And so from our perspective, I think that would be one area that was a surprise a bit for me.
Ronald Zelhof: I echo Dennis's remarks on really no surprises being in this business for as long as we've have.
Whit Mayo: Okay, well great. Thanks a lot guys, I appreciate it.
Operator: Thank you. At this time, I'd like to turn the floor back over Dr. Rollins for closing comments.
Aaron Rollins: Thank you. And thank you for joining us on this call and your interest in AirSculpt Technologies. I also want to thank our patients, our staff, and our surgeons, for such a wonderful quarter, their hard work and we just really appreciate our patients and all of your interest in AirSculpt Technologies.
Operator: Ladies and gentlemen, thank you for your participation. This does conclude today's event. You may disconnect your lines and log off the webcast at this time and enjoy the rest of your day.